Operator: Welcome to the Greif Inc. first quarter 2007 results conference call. During today's presentation all parties will be in a listen-only mode. Following the presentation the conference will be open for questions. (Operator Instructions). This conference is being recorded today, Thursday, February 28, 2008. I would now like to turn the conference over to Deborah Strohmaier, President of Corporate Communications. Please go ahead, Ma’am.
Deborah Strohmaier: Thank you Laramie. Good morning, everyone. As a reminder you may follow this presentation on the Web at Greif.com in the investor center under conference call. If you don't already have the earnings release, it is also available on our web site. We are on slide 2. The information provided during this morning's call contains forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. Some factors that could cause the results or outcomes to differ are on slide 2 of this presentation and the company's 2006 Form 10-K and in other company SEC filings as well as company earnings news releases. As noted on slide 3, this presentation uses certain non-GAAP financial measures including those that exclude special items, such as restructuring charges and timberland disposal. Management believes the non-GAAP measures provide a better indication of operational performance and a more stable platform on which to compare the historical performance of the company and the most nearly equivalent GAAP data. All non-GAAP data in the presentation are indicated by footnotes. Tables showing the reconciliation between GAAP and non-GAAP measures are available at the end this presentation and in Greif's first quarter 2008 earnings release. I will now turn the call over to the Chairman and CEO, Mike Gasser.
Mike Gasser: Thank you Deb. Good morning everybody. We appreciate your participation in our conference call today. If you're following our presentation on the Web, please go to slide 4. The first quarter results demonstrate the benefit of geographic diversity and the power of the Greif businesses. The key performance indicators are net sales and net income, which increased well over our first quarter of 2007 numbers. Strong results in Europe and in the emerging markets more than offset sluggish market conditions in North America for our industrial packaging segment. And, higher container board selling prices benefited paper and packaging. Now please go to slide 5. We are managing our business portfolio and actively deploying our assets to better serve our customers. During the quarter, we made acquisitions to expand our geographic reach and enhance our product offering in Brazil and North America. One goal of managing our portfolio is the reduction of risk. And, in the quarter we divested operations that were underperforming and did not fit our business strategy. Most notably, we sold a subsidiary in Australia and a major interest in a subsidiary in Zimbabwe. We are also focusing on controlling the controllable. We are benchmarking best-in-class manufacturing processes across all plants gain standards, and using the analytics to identify and close gaps at our facilities around the world. Through the Greif Business System, we are managing inventory levels and taking additional steps to mitigate our exposure to rising cost of raw materials, transportation, and energy. We are working to reduce energy consumption at all of our locations and have set a goal to reduce our global energy usage by 10% from 2007 levels by January 2010. Also, in response to rising raw material costs, we announced price increases during the quarter. On slide six you can see that we remain on track to achieve our key 2009 performance target. Executive Vice President and Chief Financial Officer Donald Huml will now provide you with an update of our financial results.
Donald Huml: Thank you Mike. Good morning everyone. Please go to slide seven. As you read in our earnings release, net sales increased by 13% or 7% on a constant currency basis. This increase was driven principally by higher sales volume, particularly in Europe and emerging markets. Operating profit for before special items was up 23% to $75 million for the quarter compared to $61 million last year. This excludes the $30 million pretax net gain on the sale of business units in Australia and Zimbabwe. The year-over-year increase was driven by solid top line growth, modest gross profit margin expansion, and a lower SG&A to net sales ratio. Net income before special items for the quarter increased by 33% to $48 million. This excludes the $21 million after-tax net gain from the divestiture of business units. Our effective tax rate for the quarter of $23.6% is unchanged sequentially and below the same period last year, due to our favorable earning mix shift. We believe this rate will be sustained. Now on slide 8; this puts our first quarter results in context, although past is not always prolonged, from this slide you engage our ability to deliver consistent and predictable results. The Greif business system is the catalyst for driving the performance improvement trajectory. Slide 9 shows the result of our industrial packaging segment; net sales increased 5% on a constant currency basis to $671 million largely due to higher sales volumes in Europe and emerging markets. Gross profit margin increased to 16.8% from 16.6% last year, reflecting the value added end productivity improvements. Operating profit before special items increased to $48 million, excluding the net gain of $30 million on the divesture of the previously mentioned business units. Improved net sales and execution of the Greif Business System contributed to the increase. Now on slide 10; net sales for paper and packaging increased to $169 million from $154 million for the same quarter last year, primarily due to higher container board selling prices implemented during the fourth quarter of 2007. Gross profit margin increased 20 basis points and operating profit before special items increased 19% to $20 million, despite the headwinds of higher input and conversion cost, most notably for old corrugated containers, energy, and transportation. Paper and packaging more than offset these increases with higher selling prices and savings generated by the Greif Business System. On slide 11; timbers results were below last year but consistent with plan. Now to slide 12; capital expenditures for the quarter were $30 million compared to 19 million last year. Capital expenditures for 2008 are expected to be approximately $125 million, which includes expansion capital to support our emerging market's growth strategy. That increased during the quarter due to seasonal factors coupled with accelerated inventory purchases that hedge against rising raw material cost, tuck-in acquisition activity, and the payment of 2007 performance based incentives. We are encouraged by our first quarter results and positive business momentum as we exited the quarter. As Mike indicated, price increases were announced during the first quarter in response to rising raw material cost, particularly for steel and plastic products and we are addressing transportation and energy cost through the Greif Business System. We are reaffirming our 2008 guidance and adjusting it upward to $4.15 to $4.35 per Class A share to reflect the $0.35 impact from the net gain related to the divestiture of businesses in Australia and Zimbabwe. It is our expectation that the full year results will be at the upper end of the adjusted range. That concludes my formal remarks. You should now go to slide 13. Mike and I will be pleased to answer your questions.
Operator: Thank you. We will now begin now the question and answer session. (Operators instructions) Our first question is from Jim Lucas with Janney Montgomery Scott. Please go ahead.
Jim Lucas - Janney Montgomery Scott: Thanks. Good morning guys.
Mike Gasser: Good morning Jim.
Jim Lucas - Janney Montgomery Scott: Good morning. I have got two questions for you, unrelated. The first is more of a macro question, clearly the headlines that we are all reading every day seem to grow more and more bearish as each week passes and the trends in your results seems to be indicative of what’s out there with the falling domestic and international offsetting. When looking internationally Western Europe versus Eastern Europe versus Asia, the Middle East, could you just give a little bit of background on what you are seeing in the key geographies and in particular have you seen any signs of slowing in Western Europe at all?
Mike Gasser: Jim yeah, we all read the same articles that you do and we all see that. We have not seen a slowing in Western Europe to-date. We had Ivan Signorelli who runs Europe, over here this week at our Board meeting and we talked in length with him, Western Europe is still quite strong. Eastern Europe has grown at a very good rate right now. But Western Europe is not slowing. Asia is growing at double- digits rates for us right now. So we are seeing good momentum and good volumes in those regions to-date.
Jim Lucas - Janney Montgomery Scott: Okay. and next question with regards to the price increases on the -- what we are seeing in steel in particular, can you just remind us in terms of contracts that have the pass-through mechanism in place, what percentage of your business that constitutes? And just in terms of pricing in general, you have indicated in both segments price increases in place. Just where you feel you are in terms of the price versus the inflation next right now?
Mike Gasser: You hit on a very key point. Steel has gone up quite dramatically. In the last four months it has gone up about $100 to $120 at ton in a very short period of time. That has facilitated that we pass that cost along to our customers and in all contracts that we do have, we do have a raw material re-opener. So if raw material goes up then we can pass that cost on in the form of a sales price increase. It is about 50% of our business Jim is in contract, but the non-contract obviously would be on spot basis, so that would go up right away when the cost would go up. But we tried to manage that the best we can, but we had to announce increases in steel drums, which we have done to offset these higher raw material costs that we are experiencing right now.
Jim Lucas - Janney Montgomery Scott: And in terms of that 50% in spot what type of lag do you generally see from when the increase goes in?
Mike Gasser: For the contract basis, the spot is pretty much instantaneous because when we get new cost we would pass those through and on a contract basis they vary little bit Jim, there is normally either have a 30 or 60 day lag but that varies between contracts.
Don Huml: And Jim one of the things we have been working on is really more closely synchronizing the buy side and sell side to really minimize the variability of our earnings. And I think our sourcing and commercial teams have done a very good job in that regard.
Jim Lucas - Janney Montgomery Scott: Okay, great. Thank you very much.
Operator: Thank you. Our next question is from Chris Manuel with KeyBanc Capital Markets. Please go ahead.
Chris Manuel - KeyBanc Capital Markets: Good morning gentleman and congratulations on another nice quarter.
Mike Gasser: Thank you Chris.
Chris Manuel - KeyBanc Capital Markets: Couple of questions for you, first I want to extend on a Jim's question about a minute ago. Can you talk us through typical business cycles and one of the beauty of your business is you have a lot of history. So, can you, kind of help us with what happened through recessionary periods, typically to drum volumes and demand and typically how you performed in those types of environments?
Mike Gasser: Yeah, you are right Chris. We are already in our 130th year. We are at 131st year, this year. So we have been through almost every cycle that you can imagine. Historically, drums have done well during recessionary periods. Most downturns in production would go into the bulky end of the business and the drum end of the business has remained fairly consistent. Now that is not to say that they do have a slight downturn but it is not in direct relation to the magnitude of the downturn of economy. Historically that has had -- if you go back and look at our historical results, the drum end has done fairly well. The paper ends of business were a little bit different. That is little bit more directly related to the economy. I will tell you it is probably different today in that the industry is consolidated a lot more than it has been in the past. The weaker dollar is allowing for export which is unusual. So we think that will fair better with a sluggish US economy then may be it has in the past when the economy was going down.
Chris Manuel - KeyBanc Capital Markets: Okay. That’s helpful. And when you think about, maybe just follow up on another piece of the question when you talked about some of these, I mean been pretty dramatic steel price increases, it looks like all from my math something in the order of 20%, 25% from year end through April. For the [PCU] your business that’s more spot related, you are able to almost move prices up monthly as you need to, to offset the continued increases in steel, did I here that correctly?
Mike Gasser: Yeah you did it and steel it is going up fairly dramatically and it is getting little tighter too. So I -- every one has to move it up. It’s not something that any one cannot do because trying to get steel is getting difficult. Off course now we have arrangements with major producers so we will get the volume that we need. But prices are going up and it is so draconian that no one can sit back in that raised prices.
Chris Manuel - KeyBanc Capital Markets: Okay. That’s helpful. And then last question before I turn it over is, embedded into a couple of things, one embedded into your guidance, it looks like there may be another paper price increase coming here in March. Have you included that in your guidance number one? And then number two, Don you alluded to a lower tax rate being sustainable and then it look like it was about a 21ish percent in the quarter, right. Is that a level you think going forward or something more kind of in between, but what do you think is a reasonable tax rate that you are talking about?
Don Huml: Yeah. Then Chris the effective tax rate for the quarter was 23.6%.
Chris Manuel - KeyBanc Capital Markets: Okay.
Don Huml: And that was the same as the rate for the fourth quarter of 2007 but it is about 1.6 points below the same quarter last year. We do feel that, that is sustainable based on the earnings mix shift. We had very strong performance from our businesses outside the US, and that is very definitely benefiting the tax rate. The non-US rates tend to be about 15 points below the statutory rate here, and so again the earnings mixed shift has a very positive impact on the effective tax rate. As for as the guidance we have not included the most recent price increase of $50 per ton, that is effective on March 15th, we are encouraged by the announcement and it is an initiative supported by all of the top integrated firms. And so we are hopeful that it get traction. We think it is certainly very justified but it is not factored into our guidance. So that would be an upside. You may recall when we provide guidance for 2008; we did make provision before we had to step up for the price increase announced during the fourth quarter of 2007. That has been fully implemented and so we are clearly on track, a little bit ahead of the guidance that we had provided at the beginning of the year.
Chris Manuel - KeyBanc Capital Markets: Okay, that is perfect. Thank you much. I will jump back in the queue.
Operator: Thank you. Our next question comes from Walt Liptak with Barrington. Please go ahead.
Walt Liptak - Barrington: Hi, thanks. Good morning Mike and Don. How are you?
Mike Gasser: Good, Walt, how are you?
Walt Liptak - Barrington: Good and my congratulation to you on a nice quarter. On the guidance, I would just like to ask you, the guidance looks a little bit conservative to me, taking it up to where you did and I see a number of things including what Chris mentioned with the $50 return price increase, the lower tax rate, EBIT earnings at this quarter, your volumes are holding up. Are you being cautious? Is there reason that you are being cautious with the numbers?
Mike Gasser: I think historically, well as you know, we have always tried to under promise and over-perform and I think it is justified in this market because we really don't know where the economy is heading and with rising in raw material costs. We believe that we are well-positioned with our diversity and we'll keep on coming back to our geographic diversity, being in 47 countries today, our product diversity and a customer diversity that we can weather any sluggishness that may persist in the North America economy. And we also believe through the Greif Business System that we can obtain raw materials, convert them, and pass those cost through. But we think it is probably prudent to be cautious at this point in time. So, we reaffirmed our guidance. We are really directing you to the higher end of that range, which we believe is an indication that we have that optimism but we don't want to get ahead of our self.
Walt Liptak - Barrington: Okay, fair enough. And the -- I got on to the calla little bit late, the North American organic, what was that and how will that breakout price versus volume?
Don Huml: If you look at the results over all basically the constant currency, same structure grows would be in the 7% range. 5% would be volume about 2% in price and when you look at the growth North America versus Europe and Asia Pacific, clearly we are a little bit below the, call it, positive 5% in North America and above in Europe. So you are plus or minus two points.
Walt Liptak - Barrington: So your volumes in North America are positive.
Don Huml: Yeah. Oh absolutely.
Walt Liptak - Barrington: Okay, despite what’s going on and the economy in the North America you are still positive, that’s very good.
Don Huml: That is correct. I mean for example our core product line would be steel drums and we are still talking of basically mid single digit, the growth rates.
Walt Liptak - Barrington: Okay.
Don Huml: They are but stronger in Europe and Asia Pacific.
Walt Liptak - Barrington: Okay. Great. I have got one more question. May be a longer-term related to the Grief Business System. What are your feeling at this point? How are things progressing? What does it look like for the timing of some of the cost reduction action that you have been taking? And I guess I am thinking more about the back half of year ‘08 and into 2009 and reaching those long term targets?
Don Huml: As Mike has stated in his prepared remarks, we remain confident in our ability to deliver the targets, the Griefs Business System impact is on track. We had guided you to $30 million to $35 million in impact for 2008 and first quarter results would be consistent with that and we also are looking for a contribution really in the $50 million to $60 million range for 2009 and we very definitely have the action plans to support delivery of the impact.
Mike Gasser: We continue to enhance the Greif businesses to somewhat and we are celebrating our 50 year anniversary in the first of March of implementing the Greif business. We will meet for next week with 60 people from around the world, which we do twice a year and look over the Greif Business System and what’s happening with our company and we continue to enhance it. In my prepared remarks I talked about the best-in- class process, that’s going, that’s an enhancement to the Grief’s Business System. So we are always coming up with new and different ways to extract more value from it and its an ongoing process so I will tell the group next week well it has been five years, we are just beginning. And we have a lot more to do and we really do believe that.
Walt Liptak - Barrington: Okay good yeah, you recall that in the last slowdown back in ’03 when you started this process you kept growing despite the sluggish economy and had tremendous earnings growth and there is a lot of earnings as always I think in that GBS, Okay thanks guys.
Operator: Thank you our next question is from [Debbie Jones] with Deutsche Bank. Please go ahead.
Debbie Jones - Deutsche Bank: Hi congratulation on the solid quarter. I may just have a few quick questions, you already talked about container board and does your’08 guidance have any relation to that? Can you talk about your OCC assumptions? And also your timberland sales gain assumptions?
Mike Gasser: We could barely hear you Debbie did you -- was your question OCC assumptions and timberland gain assumption.
Debbie Jones - Deutsche Bank: Yes, it was.
Don Huml: Okay. In terms of OCC, we have seen a little bit of an uptick and that was anticipated in the guidance that we had provided for 2008. And so we at this point are comfortable with the assumption that we have made, and in terms of timberland gains, those we exclude from our pro forma results because it is very difficult to predict the timing and so I really wouldn't be able to provide any guidance on that item.
Debbie Jones - Deutsche Bank: Okay, and our next question is, Australia and Zimbabwe divestitures, why aren’t they special items?
Don Huml: Pardon.
Debbie Jones - Deutsche Bank: The Australia and Zimbabwe divestitures?
Don Huml: Yes.
Debbie Jones - Deutsche Bank: And why didn't you provision that as special items?
Don Huml: We really wanted to be consistent in constructing our pro-forma. We have been very, I think, very disciplined and transparent and so what we choose to do was remain consistent but be very clear on what the pretax and after tax impact is. So that you really can cull that out and you'll note that during our prepared remarks, all of the deltas that we computed were excluding the net gain.
Debbie Jones - Deutsche Bank: Okay Great. Thanks. I am also curious if you can provide any information on your’09 CapEx outlook and ‘010 if possible?
Mike Gasser: We have not provided any guidance on ’09 or ’010 at this point in time, Debbie.
Debbie Jones - Deutsche Bank: Okay Great Thank you very much.
Don Huml: Great. Thank you.
Operator: Thank you. Our next question is from Greggory Moskaskow with Lord Abbot. Please go ahead. All right our next question is from Tim Burns with Cranial Capital, please go ahead.
Tim Burns - Cranial Capital: Good morning Mike, good morning Don.
Mike Gasser: Hey Tim how are you.
Tim Burns - Cranial Capital: Good.
Don Huml: Good morning
Tim Burns - Cranial Capital: I want to double check one thing the GBS savings for ’08 were $30 million to $35 million?
Don Huml: That’s correct. And ’09 is going to be 50 to 60.
Tim Burns - Cranial Capital: Right.
Don Huml: That is that’s the expected. Yes.
Tim Burns - Cranial Capital: Okay and Mike, 130 years anniversary, impressive. You have been around for 100 of them yourself?
Mike Gasser: Tim there are days that I think of the [civil war].
Tim Burns - Cranial Capital: As l look at the company, you can fool around with the short-term stuff but we are in this extraction economy, where they have got to put stuff into and then ship it all over Gods world. This is definitely not a bad place to be right now. And it appears you continue to benefit from that, even more than companies that make packaging for domestic consumption in those global economies. I mean is that true. Or do you feel the same?
Mike Gasser: Yeah. I think from a very high level Tim that’s a very good analysis. We tend to think packaging is still a good place to be, I believe our diversity which I talked about before of having different products, different regions of the world is really serving us well during this period. And as an example we talked about a couple of bolt on acquisitions, the Brazilian one we did. We were able to buy a leader in the new technology, a leader in the [cold] extrusion technology in Brazil that serves the agro chemical and food business, Brazil as you know is rapidly approaching as a food center of the world and so this is going to be a growth platform we believe. And so, I think is we continue to see those opportunities, we are going to continue to see some fairly good growth as we continue to look at it on a global and on a product basis.
Tim Burns - Cranial Capital: And then another positive is, it appears the domestic paperboard market is more intelligent in terms of its capacity management and pricing. I mean do you feel like this is something that is going to stick around?
Mike Gasser: I really -- you can’t have any feeling on that, I think I said in prepared remarks like or one of the answer to a question, I said, there has been a structural change, there has been a consolidation and I think once the consolidation occurs its difficult to un-consolidate. So, I think there has been a structural change.
Tim Burns - Cranial Capital: Good. And then I recently read an article that talked about what India and China are doing in Africa and one of the things it talked about was, it was largely extraction days to minerals, oils, things of that nature. But they mentioned something like caught my eye and I am not sure if it benefits you, but the tremendous improvement in freight technology, shipping technology whereby, the computer can tell you when a diamond is going to come out of the ground and when that will be located on Madison Avenue in New York city. But I get the sense you don't ship a lot of unfilled containers. Is that true?
Mike Gasser: Yeah, it's very costly and that is one of the reasons we have 212 locations around the world as it is very costly to ship. And Air which is effective, what we would be shipping it will be unfilled. And we don't ship lot of diamonds and I wish we did. I bet we get more from it than container shipment.
Tim Burns - Cranial Capital: There is a new market for you.
Mike Gasser: I hope so.
Tim Burns - Cranial Capital: And then last question is that true that Vladimir Putin is going to join your board, I was just curious?
Mike Gasser: We can't confirm or deny that.
Tim Burns - Cranial Capital: Well guys, keep at it and wish you all.
Mike Gasser: Thank you.
Operator: Our next question comes from Scott Blumenthal with Emerald Advisers. Please go ahead.
Scott Blumenthal - Emerald Advisers: Good morning Mike and Don, and since Walt congratulated just Mike, Don. Congratulations from us, from all of us.
Don Huml: Well, thank you very much Scot. I appreciate that.
Scott Blumenthal - Emerald Advisers: Don must feel bad for that thank you. And I figure, let me make some clarification for Tim diamonds are not on Madison avenue, you got to go to 47 Street for those, okay? Mike, I guess in line with some of the previous questions. I think Jim asked the question about raising prices. Contractually how often are you able to do that? I guess, theoretically you can turn the contract, your contracts into spot if you were able to raise prices every week.
Mike Gasser: The contract allows us to raise price when raw materials go up and so, there is not a set number. I mean it is not like once in quarter we can raise or once in every six months. That contract stipulates there when raw materials go up, we have the ability to pass that through. They are normally as I mentioned a lag of 30 to 60 days. But it is really dependent upon the raw material change.
Scott Blumenthal - Emerald Advisers: Okay. so then as a company how comfortable are you in going back to your customers and how often do you think that steel prices continue to trend up, hopefully they won’t continue at the rate they have been going. But how comfortable are you and how often do you think you can back and do that?
Mike Gasser: We have a good relationship with our customers for that and we provide them with a lot of the information, so when we come to them and mention that we need to go up, they are not hearing it for the first time. So they are very aware of the dynamics of the raw material and the example that you hear with steel. So they would be very aware of that. And we try to work with them to see if there is other way that we can mitigate some of the increase but I think it all boils down to the relationship we have with them and they know that we can’t absorb it, it has got to be passed through and they understand that.
Don Huml: And we could really look to 2004 which was a period of rapidly rising steel costs. And one of things that we were quite pleased with is that when steel cost increased from standard $50 per ton all of the way up to $800 per ton.
Scott Blumenthal - Emerald Advisers: Right.
Don Huml: And then next year they sale by $400 per ton. Through out that period we were able to manage about the volatility and protect our margins. So I think we have demonstrated an ability to deal with some of the challenges that we are facing and to Mike's point, I think, we've really partnered with our customers and looks for ways to mitigate the increases. We've also, I think, I'm pretty good in our tactical and value pricing. So that, we are able to explain the rationale for the increases.
Scott Blumenthal - Emerald Advisers: Okay, that's really helpful Don. And how about in the other direction, you talked about a 30, 60 day lag in price increases. Certainly your customers are watching the steel prices as closely maybe these days even more closely than you are. And how long before they start to target your [coterie] to kind of bring those prices down as steel prices begin to drop? Is that the same….
Don Huml: It's the same scenario Scott. I mean, when steel drops, we are -- it's a cyclical commodity. So, I think, if it goes up, it probably will go down. We would have the same price mechanism change with the same time lag that would be going up or going down. So, they mirror each other.
Scott Blumenthal - Emerald Advisers: Okay. And Don, looking at the inventories at the end of the quarter, it looks like you have about the value of the inventories 18% or so of the quarter sales. Can you talk about -- we can see the dollar value there in the balance sheet, but the volumes, I guess of material that you have an inventory compared to what you had last year. I'm not trying to imply that you are not managing it well; we know that you do that very well. But how much of production days does that represent?
Don Huml: Well, in terms of our inventory. At the end of the quarter we had 34 days of inventory and that is actual down on a year-over-year basis. It was 38 days in the same quarter last year, but a very different mix. We did particularly in North America purchase raw materials, particularly steel in anticipation of the price increases and to ensure availability of product. And so there was a bit of a mix shift but Scot we do focus intently on working capital. And so the days overall have declined. So, we have had offsets, but we clearly have higher stocks of steel and to a lesser extent resin, just because of some of the storage limitations. But we definitely have had a change in mix.
Scott Blumenthal - Emerald Advisers: Okay, that is really helpful. Thanks, thanks Don. And Mike, you talked about the diversity of your product mix and geographic mix. If we were to kind to take, let me say, may be like a bingo card and you put geography on one access and product type on the other access, and how full do you think that card would be, I mean how much fill-in do you have of product types and geographies in order to kind that completely fill up that card?
Mike Gasser: I think I do not play any Bingos, I really don’t know what the card looks like, but I do have idea of what you are talking about. I think from a geographic standpoint, we still have some headroom although it would be in 47 countries. We are starting to run out of countries here. That’s not to say, we don’t have a lot of expansion capability in some of these countries. So I think from product growth within the country, when you get outside of North America and Europe, we still got a lot of headroom that we can capitalize on. And so we believe that there is still some fairly significant growth. I would anticipate we would add two to three more countries in the next year or so. But I could tell you in a good conscience we are going add twenty more countries, please don’t think that, that would be altered in the short term. But I think we still are very optimistic from a growth standpoint.
Scott Blumenthal - Emerald Advisers: Yeah I guess my question was kind of we don’t have every product in every country?
Mike Gasser: That’s correct.
Scott Blumenthal - Emerald Advisers: So I guess if we had all the products lined up one access and all the countries, there is probably still a lot of white space in there?
Mike Gasser: If you put it that way, if that’s the direction of your question you are absolutely right. There would be a whole lot of white space there.
Scott Blumenthal - Emerald Advisers: Okay. Great. Thank you.
Operator: Thank you. (Operators instruction) And we have a follow up question from Chris Manuel with KeyBanc Capital Markets Please go ahead.
Chris Manuel - KeyBanc Capital Markets: All right just a couple of more quick follow ups and first for the record I don’t play Bingo either. But one Don for you is that, I was thinking back when you gave us the, when you established the full year guidance, the $3.80 to $4.00. I was thinking you had told us embedded in there was about $15 million of sales of SPU timber, did I may be mishear you or misunderstand that or…
Don Huml: My recollection is that we had $15 million for organic growth but we actually added an additionally $15 million based on the improving fundamentals within our paper and packaging business and then it was the Greif Business System impact and then there was some other items below the operating profit line.
Chris Manuel - KeyBanc Capital Markets: Okay so may be I misheard. Okay, that’s helpful. So there is no -- perhaps I think this quarter it was $6 million, or sale was -- special purpose sales that is not included in the $3.80 to $4.00 range? Is that correct?
Don Huml: Well that would be included because that is part of our core business.
Chris Manuel - KeyBanc Capital Markets: Okay.
Don Huml: That is a recurring source, in fact I think I may recall the discussion that we had because, we had indicated that basically the contribution from timber on a year-over-year basis which going to be fairly comparable in 2008 compare to 2007.
Chris Manuel - KeyBanc Capital Markets: Okay. I apologize. I just look back it was $3.8 million in this first quarter from surplus higher better yields, I was thinking about that was the number that you told us might be 15ish this year?
Mike Gasser: I think what he said was comparable to last year Chris and so I can’t recall the number but as 15 might be the number we had last year, so that may be where you got your number so you may be right.
Chris Manuel - KeyBanc Capital Markets: That’s helpful, moving over to different topic acquisitions, the divestitures that guys mentioned you’ve done bit of few. Can you provided a little more color about what you did in Brazil, could you provide us a little more color on what you did here in North America as well as, and then may be a few characteristics around these acquisitions rev and in divestitures revenue side, multiples paid, multiples received etcetera?
Mike Gasser: Yeah, I will start with the acquisitions. I mentioned a little bit of about the one in Brazil. We believe it's a very good growth platform, it is a new technology, a leader in agrochemical, of food business. So, I think that is a very powerful tool, and the United States was consistent with what we have done. In the mature markets, it was more of a consolidation play, and so that one will be an integration that we just really announced towards the end of the quarter. So, we've really, we've got very little benefit in the first quarter, but we'll see something as we go forward. That will really be more of an integration play that we are working on right now. Multiples for those, Chris, they are small enough that we don't really disclose them individually, but we continue to be very disciplined in our buying and I would -- if you would say between five and half and six times, that's the range we would pay on a multiple basis. We continue to be disciplined, so those would fit in that range.
Chris Manuel - KeyBanc Capital Markets: Okay. Can you give us a sense of how big they are? I mean is this been, are we talking, may be revenue number or something of that nature, so that we get a sense of scale?
Mike Gasser: Yeah, let me do that divestitures and I will tell you some numbers there. Then I will give you a relative relationship to the divestitures and I think that will help you get what you need.
Chris Manuel - KeyBanc Capital Markets: That will help.
Mike Gasser: The divestitures as we mentioned was Australia and Zimbabwe. And basically, in Australia was that, our key customers were migrating of the island and going to Asia and we were seeing trends of that happening and actually have seen it happen. And then, and a couple of them -- still these are under performing so we had an opportunity to divest that which we have done. And in Zimbabwe you know there is a political turmoil there, so it made sense for us to go forward. In our 10-Q that we will release next week, we will stay that’s a combined sale in those two operations was around $45 million in sales. And had income of about $2 million and Zimbabwe was pretty much breakeven to give you relative scale. The acquisition, that with the two acquisitions we talked about will be close to two times that sales number and the earnings will be substantially higher than what I told you. So hopefully that’s gives you the some color on what we would be doing.
Chris Manuel - KeyBanc Capital Markets: That’s very helpful in fact that is what was looking for. That was it from me. Thank you gentlemen and good luck in your coming quarter.
Mike Gasser: Thanks Chris.
Don Huml: Thanks.
Operator: Thank you, there are no further questions at this time, I will turn it back to management for any closing remarks.
Deborah Strohmaier: Thank you Larramie. And thank you again for joining us this morning. As a reminder this call will be available for replay from noon today and ending at 11.59 pm Eastern time on Monday March 3rd. Play back telephone numbers are 800-405-2236 for domestic callers and 1-303-590-3000 for international callers. Pass code is 11108573 #. A digital replay of the conference call will also available in approximately one hour on the company’s website www.greif.com. We appreciate for joining us this morning.
Operator: Ladies and gentlemen this concludes the Greif’s Inc First Quarter 2008 result conference call. You may now disconnect.